Operator: Good morning, and welcome to TPG Specialty Lending, Inc.'s March 31, 2016 quarterly earnings conference call. Before we begin today's call I would like to remind our listeners that remarks made during the call may contain forward-looking statements including with regard to TPG Specialty Lending, Inc.'s proposal to acquire TICC Capital Corp. Statements other than statements of historical fact made during this call may constitute as forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in TPG Specialty Lending, Inc.'s filings with the Securities and Exchange Commission. The Company assumes no obligation to update any such forward-looking statements. Yesterday after the market closed the Company issued its quarterly earnings press release for the first quarter ended March 31, 2016 and posted a supplemental earnings presentation to the investor resource section of its website, www.tpgspecialtylending.com. The earnings presentation should be reviewed in conjunction with the Company's Form 10-Q filed yesterday with the SEC. TPG Specialty Lending, Inc.'s earnings release is also available on the Company's website on the Investor Resources section. As a reminder, this call is being recorded for replay purposes. I will turn the call over to Josh Easterly, Co-Chief Executive Officer and Chairman of the Board of TPG Specialty Lending, Inc. Please go ahead, sir.
Josh Easterly: Thank you, Ashley. Good morning, everyone, and thank you for joining us. I will begin today with a brief overview of our quarterly highlights and will turn the call over to my partners, Mike Fishman and Bo Stanley, to discuss our origination and portfolio metrics for the first quarter 2016. Our CFO, Ian Simmonds, will review our quarterly financial results in more detail. And I will conclude with final remarks before opening the call to Q&A. I am pleased to report the solid financial results for the first quarter. Net investment income per share was $0.42 for the first quarter of 2016, which exceeded our first-quarter dividend of $0.39 per share. We continued our track record of over earning our dividend on a net investment income plus net realized gains basis. Our Board of Directors has declared a second-quarter dividend of $0.39 per share payable to shareholders of record as of June 30, on or about July 29. Net asset value per share as of March 31 was $15.11 as compared to $15.15 for the prior quarter. Net asset value per share movement during the first quarter was largely driven by unrealized losses due to energy-related idiosyncratic credit adjustments in our portfolio, which was partially offset by the impact of credit spread movements and the equity offering we completed in March. The first quarter of 2016 felt continued downward pressure on oil prices with quarter-over-quarter spot prices declining $0.19 per barrel and flattening of the forward price curve. We did not add any oil and gas positions in Q1 and our exposure is limited to 2.8% of the portfolio on a fair value basis. Post quarter end oil prices have recovered above $40 per barrel along with a slight upward shift in the forward price curve. If this trend were to continue through the second quarter we would likely expect a positive valuation adjustment related to our energy investments in Q2. Consistent with our strategy to remain disciplined in our capital raising and only do so if accretive on both an earnings and book value basis, during the quarter we completed an $82 million equity offering after careful evaluation of our near-term investment pipeline portfolio repayment activities and stock price performance. On March 3, we priced an offering of 5 million shares or 9% of our existing total shares outstanding at a price of $16.42 per share resulting in approximately $0.04 per share of accretion on a book value basis after fees and expenses. Since completing the offering we have already deployed capital in excess of our net operating proceeds in ROE accretive investments. Our marginal cost of equity as measured by our dividend yield was approximately 9.5%, which, based on our target leverage ratio and cost structure, would translate to a breakeven all-in asset yield of approximately 9.1% on new investments. We are pleased to report that the all-in asset yields on new investments made to-date since our offering was approximately 10.7% to 11.7% based on underlying duration assumptions, resulting in earnings accretion for our shareholders. Moving back to our portfolio. On March 2 Sports Authority filed a voluntary petition for relief under Chapter 11 of the bankruptcy code. As publicly disclosed, the company is in the process of closing 142 stores while pursuing a sale of some or all of its assets. There are a number of debt tranches in Sports Authority's capital structure. Our asset-based FILO term loan sits within the company's revolving asset-based loan which is over secured and has been rolled up into a debtor in possession financing. In addition to the incremental protections of participating in the DIP facility, we received further principal coverage through incremental collateral. We underwrote our original investment in Sports Authority with some expectation of a bankruptcy or liquidation event, but believed that the company's working capital assets provided substantial downside protection to our position. We believe our thesis will be proven out and we expect to receive repayment on our term loan starting in the second quarter given the milestones in the bankruptcy case. We would like to switch it up this quarter and do some housekeeping items upfront. As previously announced, on April 30 Bob Ollwerther retired as our Company's Chief Operating Officer. Bob's primary responsibilities to TSLX were overseeing nonfinancial SEC reporting and our Investor Relations activities, amongst other things. While Bob's leadership, professionalism and loyalty will be greatly missed, we have a strong IR team led by Lucy Lu and the remainder of Bob's responsibilities will be assumed by Ian while he continues to serve as our Chief Financial Officer. In addition, we are excited to announce that Bo Stanley has been named the President of our Company effective immediately. A partner of the Adviser, Bo brings over 15 years of experience in loan originations, credit underwriting and portfolio management. He has played an instrumental role in the success of our proprietary direct origination platform and in driving the high-quality nature of our portfolio. Bo is emblematic of the deep bench strength at TSLX and I'm pleased to announce his appointment to the role of President at this exciting time in the evolution of our business. For those who haven't met Bo, we are excited to introduce them to you in person in the near future. With that I would like to turn the call over to our Co-CEO, Mike Fishman, who will walk you through our quarterly originations and portfolio metrics in more detail.
Mike Fishman: Thanks, Josh. I will give a quick overview of our first-quarter portfolio activity before passing it over to Bo to discuss our investment activities and themes in more detail. Q1 was a solid originations quarter with gross originations of approximately $165 million. We committed and funded approximately $130 million of investments which were distributed across four new portfolio companies and four add-ons to existing portfolio companies. During the first quarter we had approximately $46 million aggregate principal amount in repayments from two investment realizations and one partial investment pay down. As to be expected in periods of wider risk premiums, repayment volume slowed during the first quarter, totaling roughly half of our average quarterly repayments over the past four quarters. Since inception through March 31, we have generated a gross unlevered IRR of 16.2% on exited investments totaling approximately $1.3 billion of cash invested. Through our direct originations efforts 84% of our current portfolio was sourced through non-intermediate channels. This enables us to control the documentation and investment structuring process and resulted in our ability to maintain effective voting control in 79% of our debt investments. This decrease in the percentage of non-intermediated investments and the percentage of our debt investments with effective voting control is driven by the higher volume of Level II investments we made during the quarter as we identified outsized risk returns amid dislocations in the secondary market. To this point, during the quarter we added to our first lien investment in SkillSoft at a blended price of 78.5 compared to a market quote this week of 86 to 87. And we added to our unsecured notes investment in Vivint at a blended price of 81.2 compared to a market quote this week of 92 to 93. As of March 31, our portfolio totaled approximately $1.6 billion at fair value compared to approximately $1.5 billion as of December 31. 89% of investments by fair value were first lien and 97% of investments by fair value were secured. In keeping with our theme, since early 2014 we are primarily focused on investing at the top of the capital structure and our junior capital exposure remains low at 11%. Additionally, since the beginning of 2013, we have reduced our exposure to non-energy cyclical industries from approximately 31% of our portfolio at fair value to less than 7% at the first quarter end of 2016. Note that this excludes our retail exposure as these are asset-based loans on the most liquid portions of collateral. The portfolio is broadly distributed across 48 portfolio companies and 19 industries. Our average investment size is approximately $33 million and our largest position accounts for 4.7% of the portfolio at fair value. At this point in the economic cycle we continue to focus on industries with low cyclicality and the ability to perform throughout credit cycles. Our largest industry exposures by fair value at quarter end were to business services which accounted for 20.1% of the portfolio at fair value and healthcare, primarily healthcare information technology with no direct reimbursement risk which accounted for 16.9% of the portfolio at fair value. The weighted average total yield on our debt and income-producing securities at amortized cost at March 31 was 10.3% versus 10.1% at December 31 and 10.3% at March 31, 2015. This yield will vary quarter to quarter as originations and repayments in any single quarter are idiosyncratic given our direct originations model. With that recap of our portfolio activity, I would like to turn it over to our new President, Bo.
Bo Stanley: Thanks, Mike. Deal activity in the first quarter of 2016, and in particular during the first two months of the quarter, was subdued amid broader market volatility, the continued decline in oil prices and concerns about global growth. During this period the number of US sponsor-backed deals transacted and exited were the lowest in the past 23 and 13 quarters respectively. Given our certainty of execution, which is valued by the middle-market sponsors that we transact with, we generated $95 million of sponsored originations during the first quarter. As we anticipated on our last earnings call, the investment backdrop during the first quarter was robust as traditional and/or undercapitalized lenders remain unwilling or unable to underwrite and manage risk. Further, technical conditions and volatility in the secondary markets presented opportunities for outsized risk return in certain sectors and companies in which we had a differentiated perspective. Our strong actionable pipeline for both directly originated and secondary market opportunities upheld our belief that an equity raise would enable us to take advantage of the attractive investment environment and provide accretive returns to our shareholders. Consistent with investment themes outlined on previous calls, during the first quarter we dedicated significant efforts in identifying retail asset-based lending opportunities, such as our first lien investments in Destination Maternity and Sears. These were opportunities in which we were able to provide loans secured by collateral of the highest quality and liquidity with favorable risk/reward characteristics. We will continue to explore attractive lending opportunities in this space as traditional brick and mortar retail gives way to the rise of e-commerce. While we are optimistic about the current market opportunity set, our investment process remains highly selective and predicated on mitigating both credit and noncredit risk. We seek to mitigate credit risk by investing in companies that are scaled and relevant to their supply chain. As of March 31 our core portfolio of companies had weighted average annual revenues of $137 million and weighted average annual EBITDA of $36 million. Our target borrower profile has inherent downside protection features that may include a high degree of contractual recurring revenues and/or hard asset value depending on the borrower's industry and our investment thesis. Noncredit risks include interest-rate, foreign currency and reinvestment risk, the latter of which is mitigated by call protection on 85% of our investments. We mitigate foreign-currency and interest rate risk by match-funding our assets and liabilities. When we fund investments in currencies other than US dollars we borrow on our revolver in local currency as this provides a natural hedge of our principal value against foreign-currency fluctuations. At first-quarter end approximately 96% of our income producing securities were floating rate with 94% of these subject to interest rate floors and 100% of our liabilities were floating rate in nature. With that I would like to turn it over to Ian to discuss our first-quarter financial results in more detail.
Ian Simmonds: Thanks, Bo. We ended the first quarter of 2016 with total investments of $1.6 billion, debt outstanding of $636 million and net assets of $895 million. Our net investment income for the first quarter was $0.42 per share calculated on a weighted average share count basis which takes into account our equity offering of 5 million shares at the beginning of March. Our average debt to equity ratio for the quarter ended March 31 was 0.79 times as compared to 0.77 times for the previous quarter. As of March 31, our debt to equity ratio was 0.74 times as we slightly delevered using net cash proceeds from the equity raise. We maintain adequate liquidity with approximately $298 million of undrawn commitments on our revolver prior to regulatory leverage constraints and we believe we remain match funded from an interest-rate and duration perspective. Please note there was a change in the way we reported deferred financing costs on our balance sheet this quarter due to our adoption of accounting standard ASU 2015-03. As a result our deferred financing costs now appear as a contra liability rather than as an asset. While our net assets for prior periods will not change, we have made the required adjustment to our balance sheet at December 31, 2015. As it relates to leverage in the current investment opportunity set, our first-quarter equity raise provided us with additional flexibility, in conjunction with our existing SEC Exemptive Relief, to participate in ROE accretive investments while maintaining our target leverage ratio of 0.75 times to 0.85 times. As Josh and Bo have discussed, given the run rate earnings strength of our existing portfolio and our visibility into our near-term pipeline, we were able to effectively deploy the net proceeds of our equity offering without any material J-curve impact on earnings. Depending on actual average life assumptions, the all-in asset yields on our investments made to date since the equity offering is 10.7% to 11.7%, which corresponds to an approximate 12% to 13% incremental ROE from our capital raise compared to a 9.5% cost of equity. We may seek to raise additional equity capital, but will maintain our principle of only doing so if it is accretive on both an earnings and book value basis. Moving over to the presentation materials we provided for today's call, slide 8 contains an NAV bridge for the quarter. Note that the per share impact on each factor is calculated using shares outstanding as of March 31 and therefore includes the 5 million shares issued in an equity offering on each component. Walking through the slide, we added $0.04 per share to NAV as a result of our equity offering and had a $0.02 reduction to NAV due to the reversal of unrealized gains from the full realization of one of our investments. Additionally, we added $0.39 per share to NAV from net investment income against a dividend of $0.39 per share. There were two other factors impacting net asset value in Q1. $0.02 per share can be attributed to unrealized gains from the impact of credit spreads and $0.09 per share can be attributed to the net impact of other unrealized losses, of which the majority was related to idiosyncratic credit adjustments for Mississippi Resources, which Josh discussed earlier, and our investment in Vertellus. We highlight Vertellus as it represents our sole investment on non-accrual status as of March 31. Our investment in Vertellus represents 0.7% of the portfolio at amortized cost and 0.4% of the portfolio at fair value. I note Vertellus is a level II asset, so our fair value mark reflects prices quoted in the market at quarter end. From an overall portfolio perspective, the weighted average performance rating was 1.4 based on our assessment scale of 1 to 5 with 1 being the highest, which is consistent with the prior quarter. Moving to the income statement on slide 9, total investment income for the first quarter was $42.7 million. This is down $0.8 million or approximately 2% from the previous quarter primarily due to the absence of syndication and amendment fees in Q1. Our PIK income component remains low at approximately 3.5% of total investment income for the trailing 12-month period. On slide 10 we've provided a more detailed breakout of our revenues. Our interest income was $39.8 million for the quarter ended March 31, which was up slightly compared to $39.1 million in the previous quarter. Other Fees was $2.2 million for the quarter compared to $1.5 million in the previous quarter. This revenue line will be uneven over time as it is generally correlated to the movement in credit spreads and risk premiums. For the quarter ended March 31, net expenses were $19.1 million, which was down slightly from $19.7 million in the fourth quarter. Our management and incentive fees this quarter reflect the continued voluntary waiver of base and management and incentive fees related to our investment in TICC Capital. In the first quarter we generated an annualized ROE based on net investment income of 11%. Based on our current asset level yield, and as we continue to operate within our target leverage ratio, our target return on equity is 10.5% to 11.5% over the intermediate term based on our December 31, 2015 book value. This corresponds to $1.59 to $1.74 per share on net investment income which compares to our annualized dividend of $1.56 per share. As always, we view our dividend as a liability that must be financed with real cash earnings and therefore our dividend policy is reflective of the earnings power of our business over the intermediate term at a level that can be consistently earned. An important consideration for our dividend level is interest rates, as we experience net interest margin compression to the extent the three-month LIBOR increases but remains below the average floor of our debt investments. If interest rates increase beyond the LIBOR floor of our portfolio we will revisit our current dividend level to ensure it is commensurate with the increased earnings power of our portfolio. As discussed previously, we have in place a $50 million stock repurchase plan that automatically purchases shares based on threshold prices beginning a penny below our most recently published NAV per share. We hope shareholders view our ongoing stock repurchase plan as a reflection of both our high degree of confidence in the value of our portfolio and our continued shareholder alignment. In closing, we had another solid quarter over-earning our dividend on an NII and NII plus net realized gains basis. Although there will be variability in fee income quarter to quarter, we believe first-quarter results validate our confidence in the core earnings power of our portfolio. Josh, back to you.
Josh Easterly: Thank you, Ian. While 2016 got off to a volatile start, we believe markets are showing signs of stabilization as underlying macro and credit fundamentals outside of energy remain positive. During the first quarter, LCD first lien spreads tightened by 42 basis points and LCD second lien spreads widened by 7 basis points. Given the debt oriented nature of our portfolio, we are naturally affected by movements in credit spreads. While we have limited ability to mitigate the impact of market risk in our portfolio, we are acutely focused on identifying and managing the impact of those risks we can control for, namely credit and noncredit risks which Bo discussed earlier. We believe risk management is central to the originations, underwriting and asset management stages of our business and we continue to invest in the highest quality resources at each stage of the investment cycle. The first quarter of 2016 marked our second year anniversary as a publicly listed company. As we progress we remain committed to the sound investment principles, investment processes and financial policies that are the foundation of our business. As we have grown we have extended our perspective of shareholders to include those of the sector in recognition of the impact of the broader perception of our sector has on our cost of capital and our ability to create value for our shareholders. To this end we remain committed to effecting change at TICC. Earlier this week TICC released its first-quarter results, which showed continued under performance and value destruction for all TICC shareholders. TICC's net asset value per share has decreased by over 32% since the first quarter of 2015. Let me say that again -- net asset value per share has decreased by over 32% since the first quarter of 2015. The current external manager has not demonstrated the necessary capabilities to execute its stated new strategy in illiquid private credit. In a further act of shareholder disregard, TICC's Board continues to delay scheduling its annual meeting which typically has been announced by now and subsequently held in June. As previously announced, we nominated a highly qualified candidate for election to the TICC Board and submitted a proposal for TICC shareholders to vote to terminate the existing advisory agreement. We believe TICC's failure to schedule its annual meeting, consistent with prior years, has been undertaken to delay a vote on these important matters. We believe that the termination of the existing investment advisory agreement and reconstitution of the TICC Board, including the election of our independent candidate, will be the catalysts to unlocking value for TICC shareholders, which includes TSLX. We have been encouraged by the broader investment community's increased awareness and focus on the BDC sector and we are confident that the destructive actions undertaken by the TICC Board will not continue to go overlooked. Our long-term focus continues to be our guiding principle behind our dividend policy, capital raising philosophy, ongoing stock repurchase programs and our investment in human capital across our platform. We believe our competitive advantage is a combination of our people, the long-term nature of our capital and our distinctive investment process of putting the collective wisdom of our human capital and our platform against the current investment opportunity set. We will continue to focus on and evolve upon what brought us here while remaining committed to our shareholder oriented approach. On behalf of the TSLX team, thank you for your continued interest and time today. Ashley, please open up the line for questions.
Operator: [Operator Instructions] Leslie Vandegrift, Raymond James.
Leslie Vandegrift: I had a first question you guys were talking about the repayment is a little lower this quarter than expected. Was there any particular reason behind that, anything that pushed substantially maybe earlier the second quarter? Or was it just kind of slow market wide there?
Josh Easterly: Yes, good question. So I think generally what you find is as credit spreads widen borrowers now have cheaper cost of capital than they could access in the market. And therefore repayments tend to slow given that they have effectively an asset and an under-market rate liability on their balance sheet. So, that coupled with slowing M&A -- the financial impact of that is if you look at it historically we have had basically about $0.10 a quarter in earnings reflective of repayments either through accelerated OID or prepayment fees. That came down to $0.04 this quarter. Given the slowing of the repayments, although the quality of our earnings have changed because more of our earnings were net interest margin or spread earnings versus fee earnings. So what you have is the business is effectively hedged based on the movement of credit spreads because, as credit spreads widen and repayments slow we operate in our target leverage ratio which in this quarter we had very minimal fees and we earned $0.42 compared to a $0.39 dividend. And as credit spreads tighten and repayments pick up you will see more accelerated OID and prepayment fee. But it will be more difficult to manage in our target leverage ratio like you saw in previous years.
Leslie Vandegrift: Okay, all right. So not really expecting then a heavy early second quarter then on repayments? Nothing (multiple speakers)?
Josh Easterly: So, I would say -- generally not. I would probably suggest it is probably in line with Q1. And I will just -- some of it is hard to tell because it is idiosyncratic, i.e. I will give you one example that is public, which is Sports Authority. Whatever fee income or OID we have left on the DIP should be rolling off, a lot of it in this quarter given the milestones in the bankruptcy case. So, obviously that is not affected by spreads at all because that nature of that event is uncorrelated to spreads. So, it is not -- we are talking about I guess patterns or correlations, not that there won't be any idiosyncratic changes.
Mike Fishman: Yes, what I would say is as credit spreads at least stabilize from this point forward I don't see that there is going to be a lot of opportunistic re-financings. However, as the M&A markets improve we might see some more realizations purely related to the M&A world.
Josh Easterly: Our portfolio company being sold -- one of our portfolio companies being sold or one of them doing an M&A transaction that we choose not to participate in. Hope that helps, Leslie.
Leslie Vandegrift: No, definitely. Thank you. I guess my follow up there, on the origination side this quarter, looking at some of the new deal metrics, it looked like the term stretched a little bit more than I expected this quarter and maybe a little bit less call protection. I didn't know if you guys got a bit better leverage attachment point out of that, you got better points in the deal. Can you give me some color around that on your origination? Thank you.
Josh Easterly: Yes, I will let Bo answer. I actually don't think -- I don't think we disclose what our call protection is in our new investments. So I am not sure that is actually the case. My guess is it is pretty consistent. But the -- and Bo can walk you through the attachment points on the portfolio. But generally as credit spreads widen, lenders -- the power of the bargaining goes to lenders which means that you are able to drive better terms, better spreads which showed up in the uptick in the amortized cost by 20 basis points in our portfolio and lower attachment points.
Bo Stanley: That is exactly right, Josh. And as we look at our -- the portfolio credit stats over time, they've been incredibly consistent over the last five quarters. In the first quarter of 2016 we did see a slight improvement in our attach point and also our last dollar risk from 4.4 turns to 4.3. We also saw the weighted average EBITDA go up slightly as, again, just the markets were tighter, we were able to select larger overall businesses.
Leslie Vandegrift: Okay, perfect, thank you. Great color, guys, and again another great quarter. Appreciate it.
Operator: Mickey Schleien, Ladenburg.
Mickey Schleien: Hey, Josh, maybe a big picture question first. Certainly getting the sense from the BDCs that have reported so for far that middle market borrowers remain healthy with revenue growth in the single-digits, EBITDA growth in the single-digits. But on the other hand in the more liquid markets we are seeing headwinds probably attributed to the strong dollar and slowdowns in Europe and Asia, etc. So I am wondering if you have a thesis on when that might trickle down into the middle market and how you are positioning yourself for that.
Josh Easterly: Yes. So I think that is -- so, I think we have talked about this, Mickey, and I think we've talked about it in our earnings. Look, I think the strong dollar for larger companies is most definitely a headwind given that they export. I think the middle market continues to be relatively stable, although we live in a very interconnected kind of ecosystem. And so you would expect it to trickle down. The good news is on the macro side and I will tell you how we position our portfolio, the dollar has weakened a little bit and who knows if that remains. But the dollar has weakened a little bit. And then oil prices where they are quite frankly is a wealth transfer to consumers. You see consumers still relatively healthy. And so that being said, I think we are relatively constructive on the US economy and specifically the middle market. I would say that although we are moving up the capital structure, we have been for the last year and a half or two years, and we are getting away from cyclicals, the exception being retail where we do strictly asset-based loans on inventory that can be liquidated in a relatively tight band in a short period of time, which we are seeing for example in Sports Authority. So, we are -- we surely are -- we've positioned the book to be more defensive just because the economic recovery, although it has been slow, surely hasn't been a V-shaped recovery. It feels a little bit just long in the tooth and with more kind of tail risks than ever before, if it is China de-pegging which creates volatility, if it is a political election cycle, etc. So hopefully that helps.
Mickey Schleien: That is helpful, thank you. And just a couple of portfolio questions. Can you remind us what the issues are confronting Vertellus and Jeeves? And whether the markdown at Soho House was technical or were there operational issues there?
Josh Easterly: Yes, so, Jeeves -- let's make this easy. Jeeves, no issues at all. What you are seeing is -- and I think we tried to disclose this, Jeeves is probably the local currency issues. And so, I think the loan as a percentage of par has been remained pretty stable. We are hedged given that when we lend in SEK, for example in Jeeves we borrow in SEK. So effectively we hedge because we own less on our revolver. And so, we have tried to fix that in our SOI in that we now put in local currency to make sure that people understand what our currency adjustments as it relates to valuation versus credit adjustments are. As it relates to Vertellus, Vertellus -- interesting, I think we had Vertellus marked at 70 this quarter. And so, we obviously saw there was a little bit of deterioration in the name. And it was I think a 3 credit in our portfolio risk rating. What accelerated the deterioration of Vertellus is one is it is a specialty chemicals company where their core markets have a little bit of oversupply that will take some time to work through. The second piece I think is that what accelerated was they had, with all companies especially that are working capital heavy, that if the market or suppliers sense a little stress they tighten trade. And so, you had liquidity kind of go faster than we thought given some trade tightening in that business. So that is the Vertellus story. We have it marked at 58.5 at the end of the quarter, I think the quotes are now kind of probably 64, 66 as there has been more light into that process and kind of the -- people have revised their assumption around time value of money. But that mark is actually up post quarter. And that mark -- is still kind of below our ultimate recovery value discounted at our cost of capital.
Mickey Schleien: Josh, did Vertellus violate a covenant?
Josh Easterly: Vertellus violated a covenant, there was actually an equity cure that cured that covenant and they made a principal payment but did not make their large interest payment.
Mickey Schleien: Okay, understand. And just Soho House, if you have any comments.
Josh Easterly: Soho House is a growth name, it is a small issue. I think Soho house is still quoted around par, quoted at 99.75, no credit issues in that business. As it starts getting -- there was at one time it was like at 105, it is a level II name there was assumption that there was going to be an early refi and call protection. As that assumption goes away the name should diverge to par.
Mickey Schleien: Okay, appreciate your time this morning, thank you.
Operator: Terry Ma, Barclays.
Terry Ma: Can you touch on retail a little bit more? I see it is up to 11% of the portfolio. You guys mentioned you’re going to increase exposure. Can you just talk about how big that can get as a percentage of your portfolio and maybe just remind us the thesis there?
Josh Easterly: Yes, so the thesis on retail is we are not making a bet on the success of a retail concept or success of actually -- or the longevity of a retailer. We are actually pretty short retail generally, which creates the opportunity. And you would not expect us to have any retail commercial real estate in our portfolio. What we are long in is that given the leverage lending rules and banks have lack of capital and consolidation of the asset-based lending market, there is just a lack of capacity in the ABL market for retailers. Let me give you a great real-time example that is public. Sears, we participated in Sears. Across the platform we were an anchor order in Sears. That term loan is pari passu with the ABL revolver, that ABL revolver banks -- large banks have I think a $1.7 billion of exposure at LIBOR 350. Because there was no more capacity in that market that was a piece of paper that is exactly the same risk, although funded, but exactly the same risk under the ABL -- under the borrowing base on a liquidation on 80% of liquidation value of the inventory, which retail inventory, if you know anything about liquidates and very, very tight bounds, given the elasticity you can drive by discounting. And that position we are earning 10% versus banks at LIBOR 350 on the exact same risk given a capacity issue. And so our thesis on retail is we are not making -- again, we are not making bets on the successfulness of a retailer. I had one reporter call me after Sears and said oh, you are believer in Sears, and I am like, I am not a believer -- it is not that I'm not a believer or I am a believer, I am actually indifferent because our thesis is the quality of the underlying inventory and the lack of capacity in the ABL market given Wells Fargo bought GE, Wells Fargo bought Wachovia's Congress and JPMorgan and BAML and banks deleveraging there is just less capacity in that market.
Terry Ma: Got it, that is helpful. And how big do you think that can get in terms of percentage of your portfolio?
Josh Easterly: I wouldn't expect it to get that much bigger. Those are typically shorter duration loans. For example, Sports Authority is I think $45 million, which is a 2.5% position, that will be gone in the next quarter, quarter and a half.
Terry Ma: Okay, got it. And then just on your pipeline, how -- I'm sorry, go ahead.
Josh Easterly: So you will see us active in that space. But the portfolio -- you also see churn in that portfolio. I will give you another great example of A&P, I don't know if you remember we were involved in A&P. A&P was a large food retailer that ended up liquidating. We received a prepayment penalty I think two quarters ago on it. That was actually -- that loan was actually based on less liquid collateral, it was based on leasehold mortgages. We underwrote I think value of kind of $600 million, those leases ended up trading for $1 billion around there I think. And we had a $250 million loan, or part of a $250 million club loan. That effectively rolled off. So you will continue to see us be active, but you also will see churn in that portfolio given the nature of the portfolio.
Terry Ma: Got it, that is very good color. And can you just talk about your pipeline, how active that is going forward, how much dry powder you have for new investments?
Josh Easterly: Yes, Mike, do you want to talk about the pipeline?
Mike Fishman: Yes. I mean coming off the fourth quarter, which was a very strong originations quarter going into Q1, which turned out to be, as everyone knows, a pretty choppy environment. We spent most of the quarter rebuilding the pipeline. And the pipeline has actually picked up significantly and is very robust right now. And in addition to that M&A markets, which were slow in the first quarter, have also picked up. So, overall I would say the market opportunity right now is very good. And we are also seeing opportunities where our ability to underwrite larger capital structures are differentiating us in the market also. So in summary, overall very good and continuing to improve in this environment. I don't know if Bo wants to add anything?
Josh Easterly: The one thing I would add is that there will be churn in the portfolio. So we have current capacity below our target -- our max equity target. And so we -- leverage target. So we do have capacity and we do expect churn in our portfolio. And in addition to that what I would say is a source of capital as well for new origination activity is a lot of our Level II names have actually run this quarter. And so, post quarter end I think if you marked our book as of this week there was probably another $0.10 of NAV improvements, about $6 million of change in value including the names we talked about like SkillSoft and Vivint. And people can do their own math because that is all publicly traded -- that is all publicly available information. And as those names approach fair value, you shouldn't be shocked if you see us exit those names and redeploy in illiquid investment opportunities given those get to fair value.
Terry Ma: Got it, that is very helpful. Thank you.
Operator: Rick Shane, JPMorgan.
Rick Shane: Look, I think you guys have followed a pretty careful playbook over the last couple years in terms of building both the left side of the balance sheet and the right side. The one I guess element that is probably missing at this point is term debt. And starting to wonder as you continue to scale the business and reach a level of maturity, does it make sense. And what would the conditions be for you guys to start terming out some of your borrowings?
Josh Easterly: Yes, great. So, great question. And when you say term you mean as it relates to financing, not taking a view on rates, i.e. doing an investment-grade debt offering where we don't swap. I mean as you know, we don't take a view on interest rates. Anybody who has taken a view on rates, thinking rates will be increasing over the last three years have been dead wrong and their cost of capital has increased. So, we have a policy of kind of generally saying we take credit risk. We are good at taking credit risk. We are not a macro guy. We are not going to compete against central banks on are rates expensive or cheap. So we would, and I will let Ian talk about kind of our funding strategy and the duration of our assets compared to what the duration of our liabilities are. But we would not add fixed-rate funding, term funding given that we don't have a view, an educated view on -- and can effectively compete against central banks into our capital structure. So -- and we have enough asset sensitivity, quite frankly, given basically 55% of our portfolio is funded with equity. So, we will see asset sensitivity and per share growth in a rising rate environment without making a macro call on rates. And go ahead, Ian.
Ian Simmonds: Only other thing I would add, Rick, is in 2015 it was more of a focus of growing into our target leverage. And so, we achieved that and that was the most cost efficient way to do it for our shareholders. As we think about term debt there is a cost impact and we have to be mindful of that. The market hasn't been particularly supportive of pricing. So, we've been talking about it for a year, we are very watchful. We will make sure we are aware of what our options are, but we have also got to think about the cost to shareholders and when that time makes a lot more sense and we will pursue it more aggressively.
Rick Shane: Got it. Does it make sense -- and that was sort of the part of the question, which is thinking about long-term rate structures. Does it make sense to defer that until you start coming off the LIBOR floors?
Josh Easterly: So I think generally you won't see us add -- I mean look, you won't see us add fixed-rate term financing, you will see as add term financing, but you won't see us add fixed rate term financing because our portfolio, we just have a general policy of what we do very well is take a view on credit risk, right, a borrower's ability to repay us and secondary sources of repayment around interest and principle. We don't want to compete against central banks. So what we really want to do is have a matched portfolio of where we have floating rate assets and where we have floating-rate liabilities. We do get the benefit of the asset sensitivity given, and EPS growth, given that the portfolio is not that levered. And so, you will see significant EPS growth. For example, if rates go up 200 basis points you will see $0.19 of EPS growth. So we will have significant asset sensitivity. The one other piece I want to talk about is the benefit of term financing in our space is a little bit muted and I have been a little bit critical of the space about taking on 15- and 30-year term financing. And that the average -- those financings are very expensive. It would make a lot of sense if we owned 15- to 30-year average life assets. We don't own 15- to 30-year average life assets. Our remaining average life of our funded investments, if you exclude the portion that is funded by equity, is 2.4 years compared to the weighted average remaining life of our liabilities which is -- that fund those assets which is 4.4 years. And so, taking on excessive term financing and paying for that insurance crushes ROEs and you have literally seen that in the space.
Rick Shane: Oh, no, look, I agree. We have seen the impact, just important to understand how you guys were looking at this. And that’s helpful -- I think it is pretty clear.
Josh Easterly: I appreciate it, Rick.
Operator: Chris York, JMP Securities. Chris, if you want to queue up again. (Operator Instructions). Christopher Testa, National Securities.
Christopher Testa: Just another question on the retail ABL. Is that something that you are seeing where you’re just able to make these loans, purchase these loans at these cheap levels compared to par and then sell them once they bounce back and then funnel those into direct originations? Or is this more of a long-term strategy where you want to hold things like Sears until maturity?
Josh Easterly: So, on Sears -- just Sears we participated in multiple levels, just to be clear. We bought the non-extended ABL and earned a very good return on that as that rolled off. We bought a pari passu ABL term loan on the secondary market I think at 92 and it’s now trading at 95, 96. And then we purchased -- we didn't purchase in the primary market as an anchor order, we did do the new Sears deal which, again, was pari passu, which was at 97 now it is at 99.5 or par. And at 99.5 or par we still think that is a very good risk return given not only the relative value compared to the ABL, which is LIBOR 350, but the actual risk return in that. But those are -- that is actually a small example of actually the strategy, more opportunistic consistent with our secondary strategy. On the retail side we actually have hired a team that was previously at Wells Fargo and if people know it, but there is a kind of Boston I would say mafia -- not to be derogatory in any way -- but Boston Mafia around retail where the likes of Gordon Brothers are and where Fleet Retail used to be and Wells Fargo Retail Finance. We hired a team in Boston, ex Wells Fargo and we team up with Wells Fargo and we team up with BAML and we team up with other lenders in the space and do really directly origination -- directly originated bespoke transactions in the retail space. I think that, we think that, we will be thematic we will offer a very good risk return, that is asset-based lending in nature. Just to give you a perspective, I think most people on our management team grew up, started in the asset-based lending world where it is all about recoveries given a default. And we know the collateral very well. We know how to manage the collateral really well, we know how to manage a borrowing base, we know when the -- we know the veracity of the underlining liquidation quotes and appraisals, if they are real or not real. We just have a lot of internal DNA. Mike, do you have anything to add there?
Mike Fishman: Yes. I mean, we have been doing this for many, many years going back into the Wells Fargo days. So we have a long history and a deep understanding of recovery values on retail inventory liquidation. So we have a high degree of comfort on those values and always are underwriting to the ultimate liquidation value of the inventory. So these by no means are -- the thesis is by no means lending to enterprise value retailers, in fact, quite the opposite. Now we don't underwrite every situation thinking these are going to be incredibly short duration and immediate liquidations, but underwrite it to that possibility always will exist. And in that scenario we feel very comfortable that the underlying collateral assets fully secure our position.
Josh Easterly: Chris, we should talk offline. The structure of that market is really interesting in the sense that the guys who make a living by providing you the appraisal, so the Hillcos, the Gordon Brothers, the Tigers, the Schottensteins, are also the guys that bid on the inventory. And so, there is a -- they tend to -- they know the liquidation value of the inventory and there is an ecosystem that makes the veracity of their appraisals very, very tight otherwise they wouldn't have an appraisal business. And so, we understand that ecosystem very, very well. And I think there is guys out there like Crystal who do it well who is in the Solar portfolio who we have a lot of respect for. But there is a -- quite frankly, a slightly different DNA which we are lucky enough to have in our group.
Christopher Testa: That is great detail, I appreciate it. And just some color if you could give on the investments ranked 3 decreasing. Were there a handful of specific credits that were upgraded and moved into two? Just any detail there is appreciated.
Josh Easterly: Yes, so -- I am just looking, Kewill went up. I think that is the largest movement. Kewill actually was -- is a multinational that faced some headwinds as it relates to currency and FX. Those -- they worked hard on the cost structure and that moved up. I think that was basically the -- and then Vertellus moved down. But those were the movements out of the 3 categories.
Christopher Testa: Okay, got it. And just on the first quarter this year, I know it is seasonally light but it was very light across the board this quarter. Has that changed your -- has that been above/below what you had expected at the end of last year? Is it mostly in line? Just curious how that stacks up with what you expected.
Josh Easterly: So I will let Mike and Bo talk about it. I think we had a good Q4. They will walk you through the numbers on Q4 origination and they can also talk about just Q1. When there is volatility in markets, in both equity markets and credit spreads, activity just grinds to a halt given that sellers there -- is a big bid ask in sellers, right. Cost of capital goes up, prices go down, sellers hope it is short-term, don't want to sell, buyers don't want to obviously be buying off old prices. And so, you have a little bit of a slowdown and then in addition, you do have a pull through in Q4 that happens -- naturally everybody tries to get deals done before year end. But there was a combination of the seasonal slow and risk premiums were wider, valuations were lower. People don't transact. Mike?
Mike Fishman: Yes, I mean I think Josh covered most of it. In Q1 with all the instability in the market, even the number of deals that were in process that we were looking at, the tendency is for those processes to slow down and buyers and sellers to take their time in figuring out what is going on in the debt markets, valuations. So, those transactions tend to push out. And in combination of the pull through in Q4 creates on at least on a new origination front a slower quarter. However, the offset to that is given the instability we did see on an opportunistic basis more opportunity in the secondary markets.
Josh Easterly: And I would say when you think about -- I just want to think about the unit economics of our business, which is the slowdown of originations didn't impact the unit economics of our business, right. And so, people are talking about the seasonally slow -- there is $0.42 of earnings. We deployed more than our equity capital that we raised, we deployed into ROE accretive investments. So I don't -- the -- I think people get mixed up a little bit which is just because you have a good origination quarter doesn't mean that positively impacts especially how we defer our fees into OID, doesn't impact earnings on a per share basis.
Christopher Testa: Got it, no, that is great color, thank you, I appreciate it.
Operator: Jonathan Bock, Wells Fargo Securities.
Jonathan Bock: So very quickly, Josh, I know you have been very forthright in how you've marked your NAV. And that has been appreciated by a number of folks where once credit spreads widen NAV effectively falls and that it is not seen or witnessed across the BDC space. One thing I am trying to understand a bit though is generally speaking credit spreads have narrowed and we're kind of moving into that. So we would've expected to see some additional upside to your asset base. And so, I understand there is a few idiosyncratic items that have driven it in energy. But generally speaking can we continue to see, since you have marked it correctly and appropriately for such a long time, that NAV is going to continue to float up? And if so why wouldn't we have seen a little bit of that this quarter?
Josh Easterly: So, I think you did see a little bit of that. First of all, we own a little bit of a shorter duration book, so credit spreads both on the downside and upside are a little bit muted by the underlying duration. So, we should have a lower -- we mark our book, we should have a low volatility book given from duration. But we had the -- and Ian can walk you through the components, but Vertellus, which is now we have marked at 58 which is reflected in our quarter NAV, is up at 64-66. And then Mississippi Resources. And so you have had those to offset the impact of first lien credit spreads tightening. I will let Ian talk to you about Q1 specifically and the components of the NAV bridge. As it relates to Q1, the good news is credit spreads actually tightened -- after Q1 credit spreads actually tightened more. So first lien spreads as of LCD first lien spreads as of March 31 was LIBOR 546 bps today are 507 bps, so you should see a positive impact if that continues in Q2 NAV. Second lien spreads have actually tightened more. Second lien spreads actually widened between Q1 -- Q4 and Q1. They have now come in; it went from LIBOR 1352 bps to LIBOR 1359 bps from 12/31 to 3/31 and is now LIBOR 1263 bps. And as -- it is very difficult to mark our illiquid book on a day-to-day basis. But as it relates to our liquid book, like I said in the Q&A, the liquid book since the quarter is up about $0.10 on a per share basis. So we have had about $6 million of positive impact on the liquid book. And you would expect -- that is a small piece of our book, but you would expect that to have, although shorter duration our liquid names tend to be a little bit longer duration. And so, you'll expect a corresponding impact on the illiquid book if credit spreads remain as. And the last thing I would say is Mississippi Resources -- Mississippi Resources, the nice thing about Mississippi Resources is that the actual -- what really hurt Mississippi Resources wasn't spot prices and -- which is the energy name, wasn't spot prices, was the flattening out of the curve. So when you think about a value of an asset, what we do on our upstream energy names is look at the value of the assets, discount the cash flows based on the curve plus or minus hedges. And what you found was at the end of 12/31 the spot prices were down a little bit, but what really happened between 12-31 and 3-31 is that the curve had flattened. So for example, 2019 prices were $52 at 12/31, at 3/31 they were $49. They have now -- since the end of the quarter the curve has gone more contango. So you will -- you should see an impact, a positive impact on energy given not necessarily not only spot prices but the -- how the curve has shifted.
Jonathan Bock: Very thoughtful -- go ahead.
Josh Easterly: Ian, you want to talk about the actual impact?
Ian Simmonds: I mean the only thing I would add to that, Jonathan, and I think we covered it in our prepared remarks. But the spread-related impact was a positive; it was relatively muted. It was $0.02 a share on the positive side. It was Mississippi on the negative side which had an impact of $0.08 a share and then Vertellus that we talked about, which was between $0.025 and $0.03 a share.
Josh Easterly: And then on Vertellus, just one more thing. The nice thing about Vertellus given the sizing of that position, that was less than a penny on the earnings, the nonaccrual. So there was really no material impact to Vertellus, very small NAV side and negligible on the earning side. Is that fair, Ian?
Ian Simmonds: Yes, that is right.
Jonathan Bock: Okay, got it, guys. Thanks for taking my question.
Operator: Derek Hewett, Bank of America.
Derek Hewett: Most of my questions have been asked. But over the last couple quarters you guys have been able to originate some unique Level II assets. Given the rally in the credit market since February are those opportunities still available? And if not, I guess will we assume that that portfolio will shrink and we'll start to see Level III assets build up again?
Josh Easterly: Yes. So, Derek, I would suspect that, look, our core business -- look, we are kind of this unique beast where we are a fundamental deep value credit business that looks at absolute returns, but obviously has an eye into relative value. And so, when secondary markets offer better risk return we will participate there. As those secondary markets recover you would see us deploying less capital, although maybe not zero because there will still be probably some idiosyncratic opportunities but less capital. And you will see us recycling that capital as those assets get to where we think is fair value, into the core direct origination business.
Derek Hewett: Okay, great, thank you very much.
Operator: Thank you. I am not showing any further questions in queue at this time. I would like to turn the call back over to management for any further remarks.
Josh Easterly: Great, well, we appreciate everybody's time and effort and listening to the story. We want to congratulate Bo and, most importantly, we wanted to wish everybody a Happy Mother's Day, which is -- not Cinco de Mayo, although Cinco de Mayo is closer. But a Happy Mother's Day which is I think on Sunday. I should remember this or otherwise I'm going to get in trouble on a couple ends. But we appreciate everybody's continued efforts in listening to the story. And feel free to reach out to Lucy or Ian, myself, Mike or Bo if you have any questions.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program, you may all disconnect. Everyone have a wonderful day.